Operator: Good day, ladies and gentlemen, and welcome to the Key Tronic Second Quarter Fiscal Year 2016 Conference Call. Please note today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Craig Gates. Please go ahead sir.
Craig Gates: Good afternoon, everyone. I’m Craig Gates, President and Chief Executive Officer of Key Tronic. I’d like to thank everyone for joining us today for our investor conference call. Joining me here in our Spokane Valley headquarters is Brett Larsen, our Chief Financial Officer. Today, we released our results for the second quarter of fiscal year 2016.We’re pleased to see sequential profit growth as our new programs continue to ramp and more than offset the reduced demand from a certain customer that has impacted our results in recent quarters. This particular customer no longer represents a significant portion of our business. At the same time we continue to see a robust pipeline of potential new business. We recently won four new programs involving industrial equipment, consumer products and lighting devices. Our broader and more diversified customer base significantly lowers the potential risk and impact of a slowdown by any one customer. Our successful integration of Ayrshire Electronics continues to make significant contributions to our progress and we’re investing in expanding our SMT capabilities and in test patient [ph] of increased demand. Moving into the second half of fiscal year 2016, we have many new programs in the process of on boarding and several more are nearing the end of the design phase and moving towards production stage. While getting this new business up in running does impact our expense line in advance of revenue, we anticipate gradually increased operating efficiencies in coming periods. Now, I’d like to turn the call over to Brett to review our financial performance. Then I’ll come back to discuss our strategy going forward. Brett?
Brett Larsen: Thanks, Craig. As always, I would like to remind you that during the course of this call we might make projections or other forward-looking statements regarding future events or the company’s future financial performance. Please remember that such statements are only predictions. Actual events or results may differ materially. For more information, you may review the risk factors outlined in the documents the company has filed with the SEC, specifically our latest 10-K, quarterly 10-Qs and 8-Ks. Please note that on this call we will discuss historical, financial and other statistical information regarding our business and operations. Some of this information is included in today’s press release and a recorded version of this call will be available on our website. For the quarter ended December 26, 2015 we reported total revenue of $116.4 million, up 2% from $114.3 million in the same period of fiscal 2015. For the first six months of fiscal 2016, our total revenue was $242.6 million up 20% from $200.7 million in the same period of fiscal 2015. As expected, we saw a sequential improvement in overall profit. For the second quarter of fiscal 2016, our gross margin was 7.8% and operating margin was 2.1% up from 7.1% and 1.4% respectively in the prior quarter. We expect margins to continue to gradually improve over coming quarters. Our total operating expense was $6.7 million in the second quarter of fiscal 2016, down 6% from the prior quarter and comparable to the second quarter of last year. Net income for the second quarter of fiscal 2016 was $1.8 million or $0.16 per share, up from $1.6 million or $0.14 per share for the second quarter of last year. Note that our results for the second quarter of fiscal 2016 included a $675,000 or $0.06 per share of tax credits related to recently improved research and development federal tax incentives. For the first six months of fiscal 2016, our net income was $2.6 million or $0.23 per share up from $103,000 or $0.01 per share for the same period last year. Note that last year results for the first six months of fiscal 2015 included $775,000 or $0.07 per share of acquisition and integration cost of Ayrshire. Turning to the balance sheet, we have continued to maintain a strong financial position. As you will recall, our inventories were abnormally high last quarter, reflecting the sudden cancellation of the program that we discussed. In the second quarter of fiscal 2016, we are pleased to see a reduction in our inventory by $2.9 million from the previous quarter and we expect to see it to continue to decrease in the coming periods, returning to the levels more in line with revenue. Our trade receivables were $60.8 million at the end of the second quarter, down $12.9 million from the previous quarter, reflecting the decrease in revenues and to a lesser extent increases in collections due to timing of shipments within the quarter. Our consolidated DSOs remain steady at about 50 days and we expect that our DSOs will continue to remain at this level during the third quarter. You will recall that we acquired Ayrshire using about $5 million from cash on hand, $35 million from a new term loan, and $9 million from our revolving line of credit to fund the purchase price. During the second quarter, we reduced our total combined borrowings by approximately $721,000. Over the longer-term, we expect to -- we expect to continue to gradually pay down both the term loan and the revolving line of credit. Total capital purchases for the second quarter of fiscal 2016 were approximately $4 million. As we continue to expand, our SMP electrical assembly, plastic injection molding and sheet metal fabrication capacity and capabilities. For the full fiscal year, we expect our capital purchases to be about $10 million. We will continue to finance these purchases through a variety of means including leasing options. Moving into the third quarter of fiscal 2016, we expect more of our new customer programs to move into production and ramp. As mentioned previously, revenue from a certain long-standing customer no longer represents a significant portion of our total revenue. Taking these factors into consideration, we anticipate that the third quarter of fiscal 2016, we will have revenue in the range of $117 million to $122 million. We expect that our overall gross margin percentage will gradually improve and anticipate earnings in the range of $0.12 to $0.17 per share for the third quarter. This expected earnings range assumes a more normalised effective tax rate of 30%. In summary, we expect to see sequential revenue and earnings growth in the third quarter as our new programs continue to ramp. Overall, the financial health of the company is strong, and we believe that we are well-positioned to continue to profitably expand our business over the longer-term. That’s it for me. Craig?
Craig Gates: Okay and thanks, Brett. We continue to believe our fundamental strategy remains sound. We have returned to growth and managed to mitigate the impact of any one customer by adding new business. We are very encouraged by the potential of our many new programs being on boarded and we are continuing to invest in expanding our capabilities and capacity. Entering the third quarter, we continue to win new business. As we’ve discussed before, we have three long term major competitive advantages. First, the boomerang effect of North American customers wanting to bring production back from China has intensified; increased cost and economic turmoil in China are driving demand for more localized production. Among EMS providers, we stand alone in the excellence and breadth of our Mexican operations. As more previously outsourced manufacturing business moves back from China, we stand and continue to benefit. Second, our unique organizational structure, honed over years of experience running geographically-diverse operations. Beyond the level of cost and service we can provide from our Mexico and China-based facilities, we offer U.S. based engineering and prototyping with an exceptional level of offshore experience. Our growing portfolio of customers increasingly want offshore cost savings, but without the risk of managing offshore relationship-schedules, inventory uncertainty, or IP loss. Third, we offer a broader range of capabilities and manufacturing footprint than competitors our size. We are not aware of EMS providers of our size offering offshore regional and low-volume manufacturing, mechanical and electrical engineering, plastic molding, sheet metal fabrication, U.S. based program management and test equipment development, and optimized global logistics and purchasing. In order to get our comprehensive level of capabilities, the next size CM option for a customer in our sweet-spot is a multibillion dollar contract manufacturer. Choosing that options means that customer’s program commands a very small portion of the CM provider’s total revenue and attention. Our size and capabilities mix makes our customer relationships much more sticky. As we work with our customers in transferring existing product to our factories or in designing, prototyping and ramping new product for them, multiple functions within the customer organization discover the breadth of our capabilities. As a result, our company has become deeply and profoundly entwined. In many cases, we become the virtual VP of Operations for the customer. Over the longer-term, the EMS market is expected to see steady growth. While periodic fluctuations in customer demand, mix-changes in our program portfolio and costs associated with on boarding new programs will continue to be part of our business, we believe our sustained focus on controlling costs, augmenting production processes and enhancing our capabilities will result in increasing competitive advantages. We see more of our new customer programs moving into production and ramping up. And our pipeline of new business opportunities looks increasingly robust. We believe Key Tronic is increasingly well-positioned to grow profitably, capture market share and capitalize on emerging opportunities. This concludes the formal portion of our presentation. Brett and I will now be pleased to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Andrew Huang with B. Riley and Company.
Andrew Huang: Thanks for taking my question guys.
Craig Gates: Sure, you bet.
Andrew Huang: First, can you give us the revenue contribution from Ayrshire in the quarter, just so if you can get a sense of how the organic business is doing?
Craig Gates: We kind of lost track of that because we’ve been moving stuff from Ayrshire to Key Tronic and back and forth, so we gave up on separate number.
Andrew Huang: Okay. And in terms of the results it looks like your revenue was down 8% quarter on quarter and yet your gross margin improved 70 basis points quarter on quarter. So can you give us some color on how you are able to achieve that?
Craig Gates: Sure. We talked before after we had got through Q1 about the immense struggle we were having with a couple of new programs that we are starting and we since got those programs ramped and running now and so that’s played a big part in improving the gross margin.
Andrew Huang: Was there anything else aside from that or is that the biggest chunk there?
Brett Larsen: Less. In Q1 as we’ve mentioned before there were some operating inefficiencies due to the abrupt cancellation of some motors during Q1 for a certain long standing customer.
Andrew Huang: Got it, okay. In light of those comments can you share with us some of the puts and takes that will affect the gross margin for the March quarter, and then maybe give us a range for the gross margin for the March quarter?
Brett Larsen: You know Andrew I think from a couple of things, couple of takeaways or things that we’ve already stated, we plan for some additional sequential growth in revenue and also in gross margin to be able to quantify that I don’t think we want to do that, but we do see both some operating efficiencies and sequential revenue growth in the near horizon during this next quarter.
Andrew Huang: Okay. And then I think on the call today you mentioned that you added some new customers, can you give us some color on those customer programs?
Craig Gates: Yes, Bill will ask it later, so we’ll answer his question now. All of them were between 5 and 20 million in annualized revenue once we get them ramped up. We are seeing what we anticipated happened and we talked before about one plus one we hope would equal three when we brought Ayrshire, and when we look at our customer both wins and our funnel of anticipated wins we see that over half of them are coming from the union of Key Tronic and Ayrshire, not necessarily from Ayrshire but from the fact that we are together now rather than apart. What’s unique about that is it tends to be more SMT business than what we’ve had in the past. So, we have added quite a few SMT lines and we are adding a couple more and we are adding some hiring equipment. I am not sure that you were associated with us back when we were talking about this quite a bit, but to go back a little bit we like our business to be complete product. But we learnt a long time ago that people are hesitant to immediately outsource their entire product with a contract manufacturer that they haven’t known or met before. It’s very much more comfortable for people to outsource PCB business first and then as trust grows, end up giving us full box build. In one case, we built PCBs for eight years for a customer before they trusted us with their full box build. So that’s kind of a cork [ph] in our current growth versus our past growth, in that quite a bit of the new business is more SMT centric than what we are used to which is a good thing because its not all that hard to add SMT capacity just go by a line and it’s not a bunch of new technology that we have to figure out. But it’s also you know not as wonderfully stellar as box build is from gross margin but it certainly plenty good to have us bump our pack into the range we are hoping for.
Andrew Huang: Okay. Thank you for that color. When you add new SMT lines, presumably that would kind of bump up the depreciation which I think would be included in your cost of goods sold, so even with the new SMT equipment that’s going online do you still expect your gross margin to improve sequentially?
Craig Gates: Yes we do.
Andrew Huang: Okay. And then just one more question, I guess last quarter you talked about new programs ramping in the June quarter that were total about $9 million in incremental revenue. Was that correct, and is there any update on that?
Craig Gates: Yep, that was -- I think that was correct, I’m not sure. I hope your memory is as good as it sounds like. If we said it, it was true.
Andrew Huang: It still is.
Craig Gates: Still is, in fact it looks better than it did back then. So we continue to see as we said earlier in the negative, we continue to see new programs ramp and new programs get ready that ramp.
Andrew Huang: Great. Thanks for all the updates.
Craig Gates: Yep.
Operator: Thank you. And our next question will come from Bill Dezellem with Tieton Capital Management
Bill Dezellem: Thank you. Well since you already answered one of my questions, I’ll just take it right from where you just left off, which was you said that the June quarter is looking better than it did when you reported results and had your last conference call. If I heard that correct, would you please kind of discuss in more detail what you are seeing and why that’s the case?
Craig Gates: Well we were predicting that a number of customers would go into production with us and we were predicting that a number of new products would hit production in the factory not necessary with new customers, but those were always just predictions. And as we’ve gotten closer to it, a number of those have come true so things are going as good or better than we predicted.
Bill Dezellem: That might be good for you then to a little bit of a surprise that I had this quarter was that your March quarter is actually going to be up sequentially. I in my mind for whatever reason had it to be down sequentially really on a seasonal basis and yet its turning now to be otherwise. Would you discuss that directional strength in the March quarter?
Craig Gates: Well it’s a combination of two things. One is existing customers are seeing as much of a slowdown as we had feared due to what’s going on with the economy. I can’t promise that’s going to continue but I should hope it does. And then secondly, some of the new programs have seen more demand than what we have forecasted and that’s obviously a great thing. So those two things working together are what’s making the March quarter be a little bit rosier than we are afraid it was going to be.
Bill Dezellem: And this rarely happens, but are you seeing customers pull in their ramps so whether they are starting earlier rather than when you had originally anticipated?
Craig Gates: Yes, it’s been kind of strange against the backdrop of the economy. For the previous probably half a year just about every time the phone ring it was somebody wanting to move something out. And for the past, I don’t know couple of months, it’s been most of the phone calls there are people trying to pull stuff in, so we are having a hard time figuring out if we are lagging or leading economic indicator but something sure changed a couple of months ago.
Bill Dezellem: Congratulations. I’m going to circle back to a variant of the question that I normally ask that you’ve already answered. And since there are four programs you said they range from $5 million to $20 million that really accounts for two of them. The smallest one and the largest one, and hoping you might provide some color on the others in the middle. I mean, is it skewed towards the larger end, skewed towards the smaller end, what additional color can you share?
Craig Gates: Not much. If you believe three out of the four are going to be $20 million, if you listen to me, three out of four will be five so we’ll see where we end up.
Bill Dezellem: And just to put that into perspective, you are starting to see some of the new programs are now stronger than anticipated so if that trend happens to continue, would it be towards the higher end of that?
Craig Gates: That’s true. It would be.
Bill Dezellem: Okay. That’s helpful. And then one of the things that we did notice is that the four wins is your largest number of wins in six quarters. I think it was a year and a half or so ago that you had this many wins in a particular quarter. And so I don’t want to take this too far and so really would like to understand how you all are viewing that number of wins?
Craig Gates: We view that as a number that interest Bill Dezellem but doesn’t really get us excited.
Bill Dezellem: That’s pretty [Indiscernible] minor conversation then…
Craig Gates: We’re happy about it, but in terms of a statistical, statically meaningful jump I wouldn’t look at it that way, I would just look at it as we continue to see strong number of wins and a strong pipeline and go with the qualitative statement that it looks continually better rather than the same or worse and that’s about all you should take from because it’s a real timing game on when we decide we’ve actually won a program as we’ve discussed before.
Bill Dezellem: Right, understood. Thank you for providing that additional perspective. And I do have one more question I’d like to have you address, that you mentioned in your either to the prior I think it was to the prior question which is China. The turmoil in China right now if we heard you correctly is leading to more business on shoring and I like you to if we heard you correct, I’d like you to kind of put your comments in perspective of wage growth seems to be slowing in China and the won is a bit lower so that would imply cost there are lower. So can you tie into that first if you would please?
Craig Gates: We don’t see that being accepted by people as a long term situation and we see people fearing the unknown as much as I do the actual short term trend. So people kind of in whip side [ph] by going through the rough and then dropping and then nobody knows for sure what’s going to happen next. And when you couple that with everybody’s growing understanding of how hard it is to get stuff done over there the sea change continues to be pushing back towards Mexico.
Bill Dezellem: Great, thank you. And I’ll go back in queue and I do have a couple more questions, but I’ll do that after others have asked.
Craig Gates: Okay.
Operator: [Operator Instructions] Our next question will come from [Indiscernible]
Unidentified Analyst: Good afternoon.
Craig Gates: Hello.
Unidentified Analyst: Great quarter. I didn’t think I’m going to say that, but although the last few ones have gone, but this one looks a lot better and hopefully this is sort of the end of the surprises that we’ve seen here over the last several years now. As usual the question on my side is more of a related to kind of share holder friendliness and whether we are you know obviously from the shareholder reach current standpoint and obviously you guys have seem to be turning the corner operationally and numbers are picking up back to where they should have been in out of about a year ago. From that standpoint of what happened to the stock price obviously you know nobody including you or the board can go out there and achieve the almost 50% of bond or whatever 45% decline in the last year and kind of feel go about it. And obviously with the most recent filings coming out on the Royce its pretty clear that some of that atleast of the recent decline has been attributed to one of your not one the largest shareholder you have selling 50 days worth of volume of stock and you guys obviously have seen it and I’m assuming you speak to your shareholders once in a while and at what point does you know doing something like a you know a large block buy from your larger shareholder the prices that seemed incredibly inexpensive by any statistical measure becomes something that your board would consider.
Craig Gates: Well I sure don’t think we are at that point yet, and nowhere near.
Unidentified Analyst: Got it, so what you are saying is that you think the board thinks that the current price is satisfactory considering the financial results.
Craig Gates: No, I’m sure the board doesn’t think the share price is satisfactory but using our capital try and prop the share price up temporarily and that’s something we are going to do.
Unidentified Analyst: No, it’s not about propping up the share price, wouldn’t that be a great investment like you know if you can spend $3 million by half a million shares at the current prices if you believe the business is growing and you know the current run rate say if you increased their earnings by $0.05 a share for the next several quarters if programs ramp up, wouldn’t that be the best potential investment you can make even better than by an SMT line?
Craig Gates: No because we can’t make the share price go up if we don’t buy the SMT lines. We got to have the capital equipment to build it.
Unidentified Analyst: Oh it has to be, I agree with that. But, you know…
Craig Gates: So also you got to realize that we’re in debt. So..
Unidentified Analyst: I do. You have…
Craig Gates: Okay, so talking to our bank and say we’re going to go buy a bunch of shares back and increase our debt is not something that’s in the carts.
Unidentified Analyst: All right. Okay, thank you for your feedback. It’s clear to me.
Craig Gates: Clarity is my goal at all times.
Operator: Thank you. And our next question will come from George Melas with MKH Management
George Melas: Good afternoon guys.
Craig Gates: Hi, George.
George Melas: A few quick questions. First one Brett, I’m just trying to understand the inventory level. You clearly said that it came down a little bit, but it’s extremely high. And a few inventory is like 98 million and I calculate that your material cost is about maybe $69 million or $70 million per quarter. You have like a 129 days of inventory and I think you’d had a long way down to go, so how far down could that go down?
Brett Larsen: I would love to say that our inventory ought to turn every six times a year but in reality I think more of a historical level would be somewhere around four times. So, yes we do have some work to do. I think based on my calculation we are about three times.
George Melas: Three times, okay. So it could come down for -- it could come down atleast $20 million.
Brett Larsen: You know it’s also difficult to you know when you are ramping up new customers and you are seeing sequential revenue growth, so you need to layer that in, but yes we are too inventory heavy at this point.
George Melas: Okay. And actually how would you reduce inventory? What would be the -- I imagine for some customers your inventory is right, for others it’s too high, I’m not sure what’s the case of the inventory for that very large customer that has declined significantly. Can you help us understand how you would reduce inventory?
Craig Gates: Well the problem with this business is that there are 65 customers and so you are really looking at 65 different situations. So some customers have new programs that they are ramping and when the ramp gets delayed because of a technology issue you end up with a bunch of inventory sitting there which you hope to push out the next quarter. Other customers everything is going great and you don’t want to cut your inventory and lower because it’s matching up perfectly with the inventory. So about the only way you can do it at is look at it by customer by customer, supplier by supplier standpoint and just grind it out. So, we’ve been doing that, we’re continuing to do that and we hope to get back after the turn of levels we saw before but I haven’t seen any magic bullet [ph] way to do it. I can recite to 20 different techniques that we are using and then have used that are best practises but inventory is just a grind.
George Melas: Is there a fair amount of inventory type that’s associated with that Canadian customer that’s you know - that then you could put back to them or is it your inventory?
Craig Gates: I’m not going to comment on specific customers.
George Melas: Okay, okay understood. And then another quick question on the OpEx clearly it came down significantly this quarter, sequentially I think your OpEx was $6.7 million, is that sustainable or was there some one time good guys in there?
Brett Larsen: I wouldn’t suspect. I think, while there was a slight decrease in overall operating expenses I think we are going to be back to somewhat what we were seeing in our first quarter. There was some one time or non-recurring event that did drop our OpEx during this most recent quarter, second quarter.
George Melas: Okay, great. Okay that makes sense. And then that declining customer, can you tell us what percentage of revenue it is at this point or is that sort of you don’t want to comment on that?
Craig Gates: I think I can’t. We haven’t told you it is, so we are just going to say that biggest customer is now down to I think around 2% or 3% of our revenue.
George Melas: Okay. And I remember last year there was another of your historically very large customer that also declined significantly and they were sort of in the casino and gambling and gaming space. Any particular development with that customer?
Craig Gates: No not really. It’s pretty stable.
George Melas: Pretty stable, okay great. And then Craig from a model, from a not from a financial model but from a sort of an understanding the business perspective if you have roughly 100 million bucks in revenue this quarter, I was just imagining it’s a 100 and you don’t add any new customers over the next 12 months, how much attrition do you have among your current customers. So how much is the hole in the bucket that you have to fill up in order to maintain revenue at the level in all of the same level?
Craig Gates: That’s a good question. And it gets it to harder what’s been going on here for three and a half years. The leaks in the bucket are pretty visible to us six months out, I’d say anywhere [technical difficulty] have points where we can see a weakening in the wall of the bucket. What we see today is a lot less attrition than what we’ve faced in the past, and it’s all due to the fact that that one big customer was at one time 35% of our business. And we’ve known for 3.5 years that that was unhealthy in hand to get fixed. We wished it wouldn’t have gotten fix the way it did get fixed, but nonetheless we saw the leak and knew it was coming. So if were to look at 100 million, if I were to size everything I know today, every customer, addable upto a 100 million today, if we won [ph] no more business I don’t see more than 2.5% of weeks that I know of.
George Melas: Well so that’s very little.
Craig Gates: Yes, I’m not speaking about the economic downturns or any of that kind of garbage; it’s going to go on. I’m just talking about customers leaving or choosing somebody else or going bankrupt or whatever.
George Melas: Okay that’s very helpful. Let me just ask another question, sort of along those lines, along the lines of the model. Your CapEx are fairly meaningful at this point. You point to the three real strengths of the model of the offering that you have, one of them being a wide range of capability. Does this wide range of capabilities come with a certain cost to the operation meaning that there is higher CapEx because you have to be able to do a whole bunch of different things?
Craig Gates: I don’t think so, because the CapEx is all tied to the revenue that it enables. We’ve got a pretty sophisticated quote [ph] model that charges us so to speak for the CapEx and the depreciation in that department. So we do a pretty good job of making sure that whatever piece of business we bring on board has paid for the capital that it’s forced us to buy. And we don’t have big chunks of capital sitting around unused because we needed to buy them for marketing purposes but they are not actually running and adding value. So I wouldn’t say that we…
George Melas: I’m sorry.
Craig Gates: I’m sorry. Go ahead.
George Melas: No you go ahead.
Craig Gates: If there is any cost of complexity it’s more related to bringing on programs that are supposed to be $6 million and then turn it out to be $1 million a year in annual revenue. And then, we have to figure out if they’re profitable enough to pay for the amount of work that goes with the program with higher margin in that small revenue or if we need to help that customer find somebody else to do their product form. We never….
George Melas: So, that’s the big risk for you?
Craig Gates: Yes. We never take on a customer that we think is not going to work out, and so we always more of unethical when we say Jesus, you know he told us it was going to be $8 million and its $800,000, you got to find a new home. So that’s our risk. And then the other cost of complexity is, well, I guess, it’s the some risk, it’s just a overhead that it takes to run. 20 programs that only ended up being in million rather than five programs ended up being 5 million.
George Melas: Yes, yes. Okay, great. And then my last question is more for Brett. Brett, on the current side we’ve had sort of a real benefit of a strong dollar and sort of weaker pesos compared to the dollar and I imagine the fair amount of your cost are in peso. Has that helped the gross margin and has that sort of contributed to sort of where we are?
Brett Larsen : Yes. Probably not to the degree that you may expect, I know that we’ve discussed previous we take out hedge contracts out almost three years for some portion of our expected Mexico spend. So, a portion of that is already locked in thus not being able to take full advantage of the weakening peso currently, but also allowing us to do a better job of understanding what are true costs are going to be when we co-programs. And of course we don’t hedge 100%, so there is some portion of our Mexican expenses that is cheaper today due to the very weak peso.
George Melas: Okay. But in the way it also means that if we had some benefit from that, let’s say in the last 12 months, we should continue to have the benefit of that as some of those hedges roll off and sort of, let’s say, better ones sort of a laid off. Was that would be a fair way to look at it?
Craig Gates: You bet.
George Melas: So, it’s a nice tailwind for maybe the next 12 months at least or something like that?
Craig Gates: Yes. But hopefully longer because it’s hard to really constrain breath and holding down and keeping from going out, buying features [ph] that’s 20 pesos to the dollar.
George Melas: Okay, guys. Thank you very much.
Craig Gates: Thanks, George.
George Melas: You bet.
Operator: Thank you. And at this time, we’ll take a follow-up from Andrew Huang.
Andrew Huang: Thank you. I just want to clarify one thing, when we talked about the $9 million in kind of new programs ramping in the June quarter. While that some of that revenue already be in the March quarter, so in other words, the incremental, is it going from 0 to nine or does it going to be like, is it going to be 5 million going to nine?
Craig Gates: It’s not going from 5 million to nine, but its not going from zero to nine.
Andrew Huang: Okay.
Craig Gates: There is some of it in this quarter, but not a ton.
Andrew Huang: Got it. Okay. And then, can you discuss in more detail maybe you said there are four new programs ramping? And did you say one was an industrial, so can you just go through it one more time?
Craig Gates: Two were industrials. And that’s about all the definition we ever give.
Andrew Huang: Okay. And then you said one was in lighting?
Craig Gates: Yes.
Andrew Huang: And the fourth?
Brett Larsen : Consumer product.
Craig Gates: Consumer product.
Andrew Huang: Okay. I guess the other question is like as these new programs ramp presumably there is yield issues, right, and maybe higher expected costs. Is that all factored into your expectations that gross margins will still improve sequential in the March quarter?
Craig Gates: Yes. It’s factored in, but I never know what’s actually going to happen. We go try and build new stuff. But we have certainly try to put it in there with vintage to allow for some inefficiencies as we start to stuff up.
Andrew Huang: Great. Thanks very much.
Craig Gates: Yep.
Operator: [Operator Instructions] And at this time we have no further questions in the queue. I turn – I do apologize, we have a follow-up from Bill Dezellem.
Bill Dezellem: My apologies for whatever reasons it didn’t ring through the first time. First of all, since there is a public debate going on whether you should be buying shares back or not. I’d like to weigh in on that, until you are able to have free cash flow generation, to me it make no sense to go borrow money to buy shares, which is essentially what you have to do, so there is a – those are my two sense.
Craig Gates: Thank you.
Brett Larsen : Very well stated.
Bill Dezellem: I would, Brett like you to have an opportunity to visit and you’ve kind of been left out of this, so I don’t want that to go on?
Craig Gates: Great.
Bill Dezellem: Don’t laugh, Craig, you’re next. So the 30% tax rate that reference, is that really the go forward rate now Brett given if the R&D tax credit is permanent or how should we look at that?
Brett Larsen : Yes. Based on what our expected research and development activities are and have been historically, I think that is probably the new normalized effective tax rate, of course, there is fluctuation in each and ever quarter based on repatriation and FX, but yeah, I think on average we’re going to save a good 5 points of taxes per year based on the R&D credits being permanent at this point.
Bill Dezellem: And we did understand that correctly that the Congress has now made those permanent until they think they are.
Brett Larsen : Until they think, yes.
Craig Gates: Yes, until there don’t.
Bill Dezellem: Right. Okay. Until they don’t, right. Thank you. Okay. And then, Craig, I do have one question here that you may not want to answer, but I’m going to throw it out anyhow. The large customer that longstanding customer that’s had a decline that’s been reference to couple of different times, would you be willing to share even slightly more detail. You said that they were 2% to 3% of revenue this quarter, so we can work into that number, but the September quarter, can you share with us what the revenue number was in the September quarter, what’s you’re building in with your March expectation and what’s your best guess is for the June quarter?
Craig Gates: Yes. I guess I can. So, quarter we’re in right now, so January, February, March we’re looking at $3.5 million to $4 million revenue in that flat at that stage pretty constant as far as our forecast goes.
Bill Dezellem: And what was – I’m sorry, interrupt, you please go ahead.
Craig Gates: So, back in Q1 that unnamed customer was around $15 million to $16 million.
Bill Dezellem: So just to make sure that I have kind of the numbers are all in place, so call it $15 million in the September quarter, about $3 million in the quarter just completed,.
Craig Gates: Three to four.
Bill Dezellem: And then actually 3 to 4.
Craig Gates: Yes, closer to four.
Bill Dezellem: All right. And then, basically holding constant at the current level for the foreseeable future which as you pointed out is really only one to two quarters that you have much visibility at all?
Craig Gates: Yes.
Bill Dezellem: Great. Well, that’s helpful. Thank you for providing that perspective and I guess it gives us lot more clarity just hopping [ph] the whole year you have to deal with this quarter. So, congratulations on your nice quarter and it’s great to see a few things kind of coming in way, get pulled in rather to push out?
Brett Larsen : Thank you.
Craig Gates: Thanks, Bill.
Operator: Thank you. And this time we have no further – I do apologize we have a follow-up from George Melas.
George Melas: Thanks guys. Thanks for the taking the question. It’s very quick. The amortization of intangibles this quarter how much was it?
Brett Larsen : Just under $300,000.
George Melas: $300,000. Okay. That’s all. Thank you very much.
Craig Gates: You bet.
Operator: Thank you, George. And at this time we have no further questions in the queue. I’ll turn the conference back over the speakers for addition closing remarks.
Craig Gates: Okay. Well, thank everybody for participating in today’s conference call. Brett and I look forward to speaking with you next quarter and have a good day.
Operator: Thank you. And again ladies and gentlemen, that’s does conclude our conference for today. We thank you for your participation.